Operator: Greetings. And welcome to the Gulfport Energy Corporation Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. It is now my pleasure to introduce your host, Ms Jessica Antle, Director of Investor Relations. Thank you. You may begin. 
Jessica Antle: Thank you and good morning. Welcome to Gulfport Energy Corporation's second quarter of 2019 earnings conference call. I'm Jessica Antle, Director of Investor Relations. Speakers on today's call include David Wood, Chief Executive Officer and President and Keri Crowell, Chief Financial Officer. In addition, with me today available for the question-and-answer portion for the call are Donnie Moore, Chief Operating Officer and Paul Heerwagen, Senior Vice President of Corporate Development and Strategy. I would like to remind everybody that during this conference call, the participants may make certain forward-looking statements relating to the company's financial condition, results of operations, plans, objectives, future performance and business. We caution you that the actual results could differ materially from those that are indicated in these forward-looking statements due to a variety of factors. Information concerning these factors can be found in the company's filings with the SEC. In addition, we may make reference to non-GAAP measures. If this occurs, the appropriate reconciliations to the GAAP measures will be posted on our website. Yesterday afternoon, Gulfport reported second quarter 2019 net income of $235 million or $1.47 per diluted share. These results contain several noncash items, including an aggregate noncash derivative gain of $147.8 million, a gain of $83,000 attributable to net insurance proceeds in connection with our Legacy environmental litigation settlement and impairment loss of $125.6 million in connection with Gulfport interest in certain other equity investments. Comparable to analyst estimates, our adjusted net income for the second quarter of 2019, which excludes all of the previously mentioned items was $33.3 million, or $0.21 per diluted share. An updated Gulfport presentation was posted yesterday evening to our website in conjunction with the earnings announcement. Please review at your leisure. At this time, I would like to turn the call over to David Wood, CEO of Gulfport Energy.
David Wood: Thank you, Jessica and thank you all for joining us on this morning's call. This was a successful quarter for Gulfport as we delivered results in line with expectations, highlighted by another active three months in both our Utica Shale and SCOOP asset areas, delivering high single digit production growth compared to the first quarter of 2019. As announced yesterday evening for the second quarter of 2019, we reported approximately $33.3 million of adjusted net income on $311.2 million of adjusted oil and natural gas revenues and generated $194.5 million of adjusted EBITDA. Production for the quarter averaged 1.36 billion cubic feet of gas equivalent per day, coming in as expected and increasing 8% compared to the first quarter of 2019. Our results were driven by production growth in the Utica Shale, turning online 25 gross dry gas wells throughout the quarter and solid well performance out of the SCOOP with six gross Woodford wet gas wells turning to sales in the quarter. We continue to see efficiencies across all our operations which I'll touch on further shortly. And our active start to the year has positioned us for a strong third quarter of 2019, both operationally and financially. We remain on track to deliver on our 2019 production guidance of 1.36 to 1.4 Bcf equivalents per day while adhering to our previously provided capital budget and are on the cusp of significant free cash flow generation beginning here in the third quarter.  As planned, the 2019 capital program was heavily weighted to the first half of the year and during the first six months of 2019 Gulfport invested $368 million in operated D&C capital and $68 million in non-operated D&C capital. In addition, land expenditures totaled approximately $23 million during the first six months of the year.  On the operated front, our capital spend has been on target with expectations. And our operated activity is in line with our original budget during the first six months of 2019. With respect to non-operated activity, we've seen cost over runs in the Utica and the capital incurred to date has resulted in larger than anticipated spend this year. We are actively working to recover a portion of these costs through trades and the monetization of certain non-operated interest we hold today. We expect to recover significant portion of the non-operated capital invested to date during 2019, and we remain fully committed to spending within the range of our total budget and have reaffirmed our 2019 capital guidance.  We expect total capital spend will decrease significantly in the third and fourth quarters of 2019. And as a result, provide meaningful free cash flow generation which we continue to estimate in excess of $100 million for 2019. Since our call in May, we have continued to make progress on our strategic goals set at the beginning of the year announcing several non-core asset divestures yesterday evening. Gulfport recently closed the sale of our Southern Louisiana assets for a total consideration of approximately $54.1 million, which includes cash, value associated with retained overriding royalty interest and incremental commodity price earnings should all prices exceed certain thresholds through 2021.  In addition, this transaction reduces our total company ARO liability by approximately one third and will improve our per unit LOE metrics by eliminating over $1.5 million per month of fixed lease operating expense. At the end of the second quarter of 2019, Southern Louisiana accounted for less than 1% of our daily production and was approximately 0.3% of our total reserve base. In addition to the Southern Louisiana transaction during the second quarter of 2019, Gulfport monetized its remaining interest in non-core equity investment which held interest in Thailand for approximately $1.9 million in cash.  We are pleased to execute both of these transactions, divesting of non-core assets, not contemplated within our current development plan and allowing us to strategically reinvest this capital elsewhere in our business.  As we discussed in May during the second quarter, we launched the process to divest of certain water infrastructure assets Gulfport holds across our SCOOP position including water handling and water recycling facility. This process is currently ongoing and as expected we have had a lot of interest. We are through the first round with a number of competitive bidders in the process, leaving us very comfortable with a minimum value of what we expect to realize on that transaction.  Taking this into consideration and as we mentioned, we would do in May, during July we repurchased and retired approximately $105 million principal amount of senior notes for a total cash spend of $80 million and expect to continue reducing a portion of our outstanding debt. To remind everyone, Gulfport does not have any maturities on our senior notes until 2023. But at the levels at which the bonds are trading recently, we are taking advantage of an attractive opportunity to retire senior debt at a meaningful discount, ultimately realizing interest savings and increasing cash margins.  As we evaluate the reinvestment of cash flows, we always consider all of our options including strengthening the balance sheet and returning it to our shareholders. In balancing these objectives to maximize value and considering the current markets for our bonds, we felt it was prudent to put this capital towards repurchasing a portion of our outstanding debt. As we look towards the remainder of 2019, we will remain disciplined in our allocation of capital, both committed to maintaining a strong balance sheet and enhancing shareholder value.  Our previously announced stock repurchase program remains active and is authorized to be executed over the 24 -month period following the announcement in January. As you recall, our intent was to repurchase roughly 30% of our shares outstanding, utilizing free cash flow from our 2019 program and certain non-core asset monetization. As we forecast today our plan to retire approximately 30% of our shares outstanding continues to be very achievable and within a clear line of sight. This is all being accomplished alongside our ongoing repurchase of senior notes, which as we discussed in May is utilizing expected proceeds from the sale of assets which were not identified as a requirement of the non-core assets to fund our share repurchase program. Turning to our specific core areas, we have had a solid six months on track with both the operational and capital budget, and doing so while continuing an unwavering commitment to efficient and safe operations. In the Utica during the first six months of 2019, we spud 11 gross wells utilizing roughly 1.3 operated rigs. The wells had an average drill lateral length of 10,900 feet and increase of 6% over 2018, and when normalizing to an 8,000 foot lateral, we averaged day spud to rig release of just 17.9 days down 8% over the full year 2018 results and highlighting the consistency of the drilling phase in our Utica operations. And as we've said before shifting to taking minutes no longer days out of each activity. We are currently running one drilling rig in the Utica Shale and as planned in the original budget provided earlier this year, we will release this rig in the coming weeks and complete our 2019 drilling program in the Utica Shale during the third quarter of 2019. Turning to completions in the Utica Shale, we were very active in the first half of the year turning to sales 31 gross wells with an average stimulated lateral length of 8,800 feet. This level of activity led to a strong quarter on the production front averaging 1.05 billion cubic feet equivalent per day during the second quarter and increase of 6% over the first quarter of 2019. In terms of activity, we ran an average 2.3 completion cruises during the first six months of the year and completed approximately 5.7 stages per day. As a result, as of June 30th, we had completed a total of 1,881 stages during 2019 representing substantially all about 2019 completion activity. We currently anticipate turning in line additional wells throughout the remainder of 2019, however, the large majority of the capital spending associated with these forecasted turning lines took place during the first half of the year. In the SCOOP, we had a solid six months of the drill bit with an average drill days remaining consistently below 50 days for all Woodford wells released to date during 2019. During the first six months of 2019, we spud seven gross wells including six Woodford wet gas wells and one lower Sycamore well, utilizing roughly 1.9 operated rigs. The wells released had an average lateral length of 9,300 feet and when normalized to a 7,500 lateral, the wells average day spud to rig release of 52.1 days during the first six months of the year, a decrease of 17% when compared to 2018 our program average. When isolating the well set to just the Woodford formation, the average spud to rig release total 46 days during the first six months of 2019, a 27% improvement to our full year 2018 program average. These results demonstrate our focus on identifying areas of improvements. I am proud of the Gulfport team's commitment to delivering consistent repeatable results out of this play. We currently have one rig running in the SCOOP and plan to deliver an additional two to three gross wells during 2019. On the completion front during the first six months of 2019, we turned to sales nine grow swells with an average stimulated lateral length of 7,100 feet. While running one completion crew during the first half of 2019, we averaged 3.6 stages per day and completed 280 stages in total, representing over 50% of our anticipated completion scheduled for 2019. Production during the second quarter average 298.3 million cubic feet equivalent per day, a 15% increased sequentially and 21% year-over-year, as well as marking a record level of net production for this asset. In summary, we had an active start to the year and our operated activity remains on track and on budget with our previously provided 2019 program. The team has done an exceptional job highlighted through our continued strong well performance, discipline to our capital budget and the numerous operational efficiencies demonstrated across the assets. Our performance to date has set the stage for delivering on our 2019 capital budget and solidifying our production target set for the full year. With that I will turn the call over to Keri for her comments.
Keri Crowell: Thank you, Dave and good morning all. As announced in the earnings released yesterday evening, we reaffirm our full year 2019 capital budget and forecast to invest $565 million to $600 million across our assets, centered entirely within cash flow and bolstered by our hedged revenue stream. Second quarter production average 1.36 billion cubic feet of gas equivalent per day composed of 90% natural gas, 7% natural gas liquids and three 3% oil. And as Dave mentioned, we continue to forecast our full year 2019 average daily production to be in the range of 1.36 to 1.4 billion cubic feet per day. In addition, we forecast our activity during the first six months of 2019 will lead to another heavy quarter of turn in lines and similar to the second quarter, we expect strong single-digit production growth for the third quarter over the second quarter of 2019. On the realizations front, during the first six months of 2019 our realizing natural gas price before the effect of hedges and including transportation costs sold approximately $0.54 per Mcf below the average NYMEX price. Based upon our current front portfolio including both Utica and SCOOP and utilizing current strip prices and basis marks for end markets reach, we reiterate our expectations for basis differentials to range from to $0.49 to $0.66 per Mcf oft NYMEX monthly settled price for natural gas during 2019. During the first six months of the year before the effective hedges, our realized oil price came in at $2.34 of WTI. With the recent sale of our southern Louisiana assets, we do anticipate our oil differential to average in the reign of $4 to $5 of WTI for the remainder of the year, however, on an annual basis, we expect to be within the previous provided guidance range and we reiterate our expectation to realize approximately $3 to $3.50 off WTI for oil for full year 2019. Turning to NGL. Before the effective hedges, our realized NGL price came in approximately 37% of WTI and based upon these results and recent strip pricing, we expect pre hedge NGL pricing to average 40% to 45% of WTI for 2019. As many of our peers have mentioned, we have witnessed a challenging environment for NGL prices recently and while the strip pricing has been volatile, we have protected a portion of the downside through our 2019 hedge position. Gulfport has roughly 75% of its propane exposure secured at $0.69 per barrel and a base low for ethane and pentane well above current strip pricing today. Taking all of these into account, our NGL hedge position secures pricing for approximately 50% of our expected production for the remainder of 2019. Including the cash settlement of our hedges, during the first six months of 2019, our realized NGL price came in approximately 40% of WTI. When taking this across all our products, our hedge position provides a high degree of certainty surrounding the cash flow profile for the 2019 program and during the second quarter of 2019, we realized the settlement gain of $0.19 per Mcfe or $23.3 million.  Our 2019 natural gas production is fully hedged at $2.83 per MMbtu and as I just mentioned, we also have a large base load covering our NGL exposure and our expected oil production at $60 per barrel. Maintaining a strong strategic hedging program is an important element to supporting the long-term development of our assets. And we will continue to opportunistically lay on additional hedges and basis swap to provide line of sight to our realizations and cash flows. For the first six months of 2019, our realized prices and hedge position resulted in adjusted oil and gas revenues of $627 million which is composed of approximately 79%, natural gas revenues and 21% liquids including 11% oil and 10% natural gas liquids. In terms of cash operating expenses, our per unit operating expense which includes LOE production tax, midstream gathering of processing and G&A totaled $0.95 per Mcfe during the first six months of 2019 in line with our 2018 full-year average and down 3% from the first quarter of 2019. Moving on to the balance sheet. Gulfport completed at spring borrowing based redetermination in late May and taking into account the reserves added at the drill bit since last fall, as well as strip pricing at that time Gulfport lenders reaffirm the company's borrowing base of $1.4 billion with elected commitments under the facility remaining at $1 billion. In addition, Gulfport recently completed its internal mid year 2019 Reserve Report and taking into account the reserves added since the beginning of 2019 and current strip pricing, we estimate the company's mid-year 2019 proved reserve value to total approximately $2.7 billion which does not account for the additional inventory in our Utica Shale and SCOOP assets that remains beyond this SEC five-year rule for proved undeveloped reserves. I will now turn the call back over to Dave for closing remarks.
David Wood: Thank you, Keri. In closing, we continue to show consistency in our ability to execute by delivering on our targets and plans, while holding to our 2019 capital budget. With the near-term environment for natural gas, I will reiterate our comments from the beginning of the year that our focus on capital discipline and cash flow generation goes beyond this calendar year. And we are committed to running this business with an emphasis on returns going forward. As we look towards 2020, our message remains consistent, prioritizing margin maximization over production growth and generating free cash flow with an unwavering commitment to capital discipline. This concludes our prepared remarks. Thank you again for joining us for our call today. And we look forward to answering your questions. Operator, please open up the phone lines for questions from the participant.
Operator: [Operator Instructions] Our first question is coming from Neal Dingmann of SunTrust Robinson Humphrey. Please go ahead.
NealDingmann: Good morning. My first question, David actually for you. Could you just talk or speak to what your ultimate targets are regarding the leverage and total share repurchase given how low your stock and bonds continue to trade? And really how these targets might impact next year's planned activity?
DavidWood: Yes. So I think that's a very fair question. I'm actually not sure what next year's gas price is going to be. And as we've talked about since the beginning of this year, it's really going to take us until probably the end of the third quarter to get a good sense where gas prices are. So that's kind of how we look forward. In terms of specific targets, in terms of share price, I think that's a very difficult thing to know. We have an active share repurchase program ongoing as I look at it. We set out at the beginning of the year to buy back 30% of our outstanding shares. We have as I mentioned in my prepared remarks, clear line of sight to be able to do that at around $150 million. So I feel very good about that. As we also said in the remarks, we recognized we're starting really about in May where industry was starting to be impacted on the debt side and we were no different there. We said when we announced our water asset sale we take a portion of those proceeds. We're now much more comfortable as to where the likely outcome price for that is, very happy with that. And we've taken a larger chunk of that and have been in the market and made some very good returns on purchasing some debt. That is also an active program going forward. And so I think we have two programs. One associated with enhancing shareholder returns and one now addressing the debt side of our business. So I think that's a comfortable place for us to be. And as the market moves then we'll react accordingly.
NealDingmann: Okay and then maybe tied into this one last question for you. Could you speak to the non-core assets sales besides the water you described? And what I'm particularly interested in is really in how much of the 210,000 Utica acres do you estimate you'll be able -- you'll be active on in the next year or two given the one to two rigs right now planned for the play? And then how much of that would you consider selling?
DavidWood: Yes. I don't have any plans for selling any Utica acreage. I mean the normal way we run our business is if there's acreage that adds to the units that we're going to drill in the development plan we have, we will do that. If this piece of land, small pieces of land that are not part of that, we'll look at those. But overall I'd say we're in pretty good shape as far as that goes. In terms of non-core assets sales, very happy to announce the Louisiana and the Thailand, we still have a number of things as we scrub through our business that we're working. And so as we go through the remainder of this year and into the beginning of next year, hopefully we'll have some things that we can talk about and talk about the types of proceeds that we have. So constantly looking at the business; constantly scrubbing through it and things that aren't related directly to our two cores areas and those assets are available for us to move out and bring that capital back into our business. So that's the overall game plan.
Operator: Our next question is coming from Ron Mills of Johnson Rice. Please go ahead.
RonMills: Good morning, David. Maybe just one quick follow-up on Neal's question. In terms of you think about allocation of debt repurchases versus stock repurchases, how do you weigh the cost and benefits between those two? Should we think about just free cash flow for equity or/and sales proceeds for debt or is it more fungible in your mind and how do you -- how do you make - decide between the two?
DavidWood: Yes. So I think having both is great from our perspective. We do have a number of things as I mentioned in the prior question answer to be able to bring to the table in terms of capital for us to be able to move to one or the other. I would reiterate my comment about this 30% share repurchase. I think making returns to our shareholders is very important to us. And like I said I have clear line of sight to accomplish what we set out to do at the beginning of the year. And as we look in the next year, the big question is where will prices be set for us in terms of our hedge levels, and from that be able to determine what we're going to use it for. I've been very pleased with our ability to go to the market and repurchase face value debt at a discount with a very attractive return. As I mentioned that program is active, we will still keep doing that as we go forward. So really it's a balance there as you would expect to be responsive to conditions that change.
RonMills: Great and then one question just in terms of CapEx and production, you clearly spent a lot of money in the first half of the year with production coming on in the second. When we look at the remaining wells for the year in your areas, are they more weighted to the third quarter versus the fourth quarter? And what do you think about CapEx versus production growths in terms of tenor in third quarter versus fourth quarter, just a little bit more color on how the rest of the year looks. Thank you.
DavidWood: Yes. The rest of the year looks good for us. Clearly, the capital spend predominantly done so far. We still have a large number of turn in lines to take place. So that'll be the driver of our production growth going forward, very nice single digit quarter-on-quarter announced, expect that to keep going here. The one thing that we've highlighted this time is our non-operated piece; very pleased with how we conduct our operated business; quite disappointed with what has happened in our non-operated year-on-year here. In prior years we've been able to readdress those outspends, will do the same again this year for the non-operated. I'm very happy to say that the operator of the non-operator has recognized that they need to change and has actually changed their complete management out. And is dedicated to improving their operating capability. So I'm really pleased about that. And so I think the solution for us this year, we won't be talking about that as a solution next year, but that's really the non-operated piece and the impact on that.
Operator: Our next question is coming from Jane Trotsenko of Stifel. Please go ahead.
JaneTrotsenko: Good morning. I have a question regarding SCOOP gas marketing. I just wanted to confirm that once Midship project is online that all SCOOP gas is going to be shipped to the Perryville hub?
PaulHeerwagen: Yes, Jane. This is Paul. Generically speaking, yes, gas is moving in that direction, specifically where that lands, we will have exposure in that Louisiana market and beyond down into the southeast. The marketing team has done a great job of passing us beyond that Perryville point.
JaneTrotsenko: Okay, got it. And then the second question is on 2020 program. I just wanted to confirm that 2020 program is going to be similar to 2019 program in terms of capital expense and production growth, which is 0% to 3% year-over-year for 2019.
DavidWood: Yes. So it's a little early for me to get too focused on 2020 because I'm not sure where gas prices are going to be. I think if you look backwards the last 10 years, you've seen gas curve generally in backwardation stepping down on three-year cycles from $5 to $4 to $3. In between those times there has been a very short gap where it's fallen to something $2.50 and little less, we're in one of those small gaps that generally last six the nine months. So my belief is that next year the range will be somewhere in $2.60 to $2.90. And as we've seen this week from Permian operators that were providing a lot of the excess gas, I think about it be an half now having to look at their well spacing and their production. I feel much more comfortable that the $2.60 - $2.90 range that I have in my head is probably what next year's going to look like. And so if it's that way and we can get to the end of this third quarter and look into 2020 and hedge within that range then you could say that if you could get gas prices very similar to where we're hedged today then we should look very similar, but it's all dependent upon what the gas price is going to be. And I don't think we're smart enough yet to actually pick where it's going to be within that $2.60 - $2.90 range. So that's kind of how my view is for next year. 
JaneTrotsenko: Got it. And if I could ask the last question, if you could remind us how much of your Utica and SCOOP acreage is held by production?
DonnieMoore: Yes. Jane, it's Donnie. About 65 plus or minus percent of the Utica sale by production and over 85% -86% of SCOOP.
JaneTrotsenko: So where I'm getting at there is actually land CapEx next year, if you have any thoughts how we can check out?
DonnieMoore: Yes. If you look at the last few years, we've spent a lot on land up in the Northeast on renewal on--, so that's kind of occurred this year or land dropped significantly from last year down in the $40 million range. So you'll see that continued to a drop over the next few years as we've renewed all those leases and most of them were five-year terms, so we've got plenty of time.
Operator: Our next question is coming from Jason Wangler of Imperial Capital. Please go ahead.
JasonWangler: Good morning. Maybe dovetailing on the program for next year and understanding gas prices are gong to play into it, but the last couple years obviously been a bit front-end loaded. Do you see a more balanced program as you look at next year? I know weather kind of impacts the beginning of the year, but how do you think as you kind of think to go forward the CapEx spend would look on quarter-to-quarter basis in 2020? 
DavidWood: Yes. Jason, I think that's a great question. If I had my [Indiscernible] I'd love to have a capital program that was a lot more evenly paced through the year because I think that would help us drive operational efficiency even more keeping rigs and completion crews active through the year. Having said that I think we are heavily weighted as are many, many, many of our peers to the front end. And so I think if we look over time we will get better balance, but it's an incremental gain not an absolute step change gain would be the way I look at it.
JasonWangler: Okay. That's helpful. And then on the bond repurchases can you --I know it's an active program but can you just talk about kind of your thoughts on which ones you target is at the nearest maturity? Is that the one with the biggest discount or what's available or just kind of how you guys think about that as you go into the market?
DavidWood: Yes. Jason, that's a great question. We touched them all and we were really focused on maximizing the returns that we got. So that was really kind of a overarch on it, but we did touch them all.
Operator: Our next question is coming from Jeffrey Campbell of Tuohy Brothers. Please go ahead.
JeffreyCampbell: Good morning. I was looking at slide 7 and you mentioned the unhappiness with your non-op partner who I think we all know who that is. And so referring to that non-op over spend, are the trades or the non-op sales referred to on the slide, are they required you to just stay within your overall spending guidance of $565 million to $600 million? 
DavidWood: Yes. We've had the exact same issue in years past, so it's nothing new and we have a solution that allows us to get back aligned with where we are which is why we said that we're comfortable with our budget. And so this isn't a one occurrence sort of thing is the way I would kind of target you. And it is one person; it is one operator. And as I say, I think their commitment to being better at solving this sort of thing is comforting to me. So I just think the solution be this one year thing. But we've done it before in past years, do exactly the same again. 
JeffreyCampbell: So just ask the question again, whatever you're going to sell to compensate for this overspend, you feel good about it and that's contained in the guidance, the $565 million to $600 million staying within guidance.
DavidWood: Yes. That is absolutely correct.
JeffreyCampbell: Okay, perfect. I appreciate it. And my other question was, I just wondered right now do you intend to hold on to the old RRI that you got in south Louisiana or could that potentially be another asset for sale at the right price?
DavidWood: That's very insightful. We just look at those like we look at a whole bunch of other stuff. But it was nice value part of that deal. So I think that's very insightful, Jeff. 
Operator: Our next question is coming from Kashy Harrison of Simmons Piper Jaffray. Please go ahead.
KashyHarrison: Good morning and thank you for taking my question. So I was just wondering if you could, if you all could share some color on what you're seeing on the A&B front and dispute. A peer of your just recently announced the bolt-on acquisition. I was just trying to get a sense of just some color on what you're seeing the base and the bid spreads, whether they're narrowing, just any color would be great. 
DavidWood: Yes. Kashy, it's kind of an interesting time in our business. I think if you were to look on the private side, I think a general comment would be there really hasn't been a mark-to-market. And so I'd say there's still is some stress around doing deals from those kinds of folks. And so I haven't really seen that change yet. And maybe we need to go a little bit longer into this low cycle before that happens. I'm not sure. I think as we've seen from announced public deals, I think the market has been quite, I'll call it fickle or very particular about what it's expecting to see. And that probably explains why we are at 10 -year low or 20-year low on M&A. I think it's particular to the mid-com year; we're in a pretty good shape where we are. Donnie and his team are doing a great job on our land footprint. And so we have lots of running room there. So there's really no pressure that I feel that we need to go and do anything at all for our business, certainly not in this cycle. So M&A is always looked at in this shop, but I haven't seen anything that gets me overly excited to say, hey, that's something I need to be.  End of Q&A
Operator: Thanks you. This brings to the end of our question-and-answer session. I'd like to turn the floor back over to Mr. Wood for closing comments. 
David Wood: Thank you, operator. We appreciate your time and interest today. Should you have any questions, please do not hesitate to reach out to our Investor Relations team. This concludes our call and than you all for dialing in. 
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference. You may disconnect your line at this time. And have a wonderful day.